Jakub Frejlich: Welcome again. We are sitting here in Orlen headquarters in a meeting room to discuss Q3 and 9 months of 2025 ending September 30 financial and operating results. We are here in the room with Slawomir Jedrzejczyk, Group CFO; Daniel Obajtek; and my name is Jakub Frejlich, I'm Head of Investor Relations. Please don't -- please mind that we're doing it old school without video. So this is normal [indiscernible] function or technical problem. We would like to keep it that way for the time being and maybe further. So we will kick off. We're still having some joiners coming in. But since this is 5 past already, we'll be kicking off. And now I'll hand over to Slawomir, please.
Unknown Executive: Thank you, Jakub. So good morning, ladies and gentlemen. Let me start only by saying it's good to be back. Warm welcome to everyone. It's my pleasure and privilege to present Orlen quarterly results. I would like to start with the highlights. First of all, macro environment and mixed views on that. First of all, lower oil and gas prices. So as you know, that impacted our upstream business. However, very good refining environment, very high margins. In petrochemicals, still, we see market pressure, both in terms of margins and volumes. Electricity, stable prices. And in terms of retail, fuel retail, we observed lower fuel consumption, especially in diesel. And let's look at operations, and this is very positive news, I believe. We delivered very good results in operations, higher gas production, distribution and sales, higher throughput and wholesale fuel sales. However, lower sales in petrochemical, as I said, higher electricity production and higher nonfuel sales in retail. So as a result, if we look into the financials, we delivered very solid EBITDA, close to PLN 9 billion, very high cash flow from operations altogether for the first 9 months of 2025, PLN 34.4 billion. And we managed to continue our CapEx program. Altogether, we spent PLN 21.1 billion for the first 3 quarters, and we paid record high dividend of PLN 7 billion. So as a result, we managed to decrease our debt level by PLN 6 billion in 2025. So now let's move to Slide #4, which is highlights, financial results highlights. As you can see, revenue dropped to PLN 61 billion in the third quarter. However, that was due to the fact that oil and gas prices were lower. Then very solid EBITDA, close to PLN 9 billion altogether, close to PLN 30 billion in the first 3 quarters. Very good cash flow from operations, as I said, although in the third quarter, slightly lower than in past quarters due to the fact that we increased our working capital by PLN 2 billion in the third quarter due to the fact that the prices increased and the volume increased. CapEx, we continue our CapEx program. Our budget was PLN 35 billion. So currently, after 3 quarters, PLN 21.1 billion. I will come back to this in the slide dedicated to CapEx. And as a result, free cash flow close to PLN 1 billion and very, very safe net debt position and net debt-to-EBITDA of 0.14x. So now let's move to EBITDA delivered by segments. As you can see, we delivered good results in all the segments, Upstream and Supply, PLN 3.3 billion; downstream, PLN 2.4 billion; Energy, PLN 2.2 billion and customer and products, PLN 1.6 billion. So altogether, PLN 8.9 billion. And what's very interesting, I believe, is that the bottom is a change year-on-year. So in Upstream, it's minus PLN 3.2 billion, but I would like to pay your attention that basically the results of '24 were, let's say, inflated, PLN 1.8 billion out of this PLN 3.2 billion is basically higher gas prices we achieved in '24 due to the fact that we contracted '24 based on '23 prices, PLN 0.8 billion is basically purchase price allocation that inflated results in '24. So you may say that this drop is, of course, due to the fact that there were lower prices of oil and gas. However, please bear in mind that '24 is not comparable due to those 2 one-offs, let's say. In Downstream, PLN 1.9 billion higher results, which is, I believe, great due to fantastic macro environment in refining from the refining margin point of view. Very solid results in Energy and Consumer Products. Corporate functions increased by more than PLN 200 million. PLN 100 million is, you may say, phasing and PLN 100 million is due to the fact that we increased our labor and general expenses by a few percentage points year-on-year. Now let's move to Slide #6, where we present our operational results. And this is evidence what I said that from operations, it was a very good quarter. So we increased production and wholesale gas sale in upstream and supply. We slightly increased crude oil throughput and wholesale fuel sale by 1 percentage point. However, you can observe here minus 16% drop in petrochemical, and this is clear evidence that petrochemicals under huge pressure, both from petrochemical margin perspective as well as volumes. In energy, steady growth in almost all areas, gas distribution plus 3%; heat generation, plus 5%; electricity generation, plus 7%. And what's very important, renewables generation increased by 43%. So what I can say is that currently in the electricity generation, renewables constitute 17%. This is 4 percentage point increase as compared to last year. As regards Consumer and Products, very good results in the retail gas and electricity sales. However, we see some pressure on the consumption of fuel in Poland, especially diesel. That's why you can see that our retail fuel sales dropped by 2 percentage points. Now let's move to each segment where we elaborate more. So let's start with Page #7, Upstream and supply. We managed to produce up to 200,000 BOE per day. Majority of this -- more than half of this is, of course, Norway, but then we have Poland and the remaining amount is Canada and Pakistan. Majority of this is gas production. And if you can see, the result is lower by PLN 3.2 billion. But as I explained, upstream Poland and Upstream International, this negative -- huge negative impact of lower gas and oil prices was to some extent or even a big extent, offset by higher production, both in Poland and Norway. And this PLN 2.8 billion, as I explained before, basically, this is lower realized gas sale price. So you may treat it as a kind of one-off from '24 and negative impact of the settlement of PPA, this is PLN 0.8 billion again from 2024. So now let's move to Downstream. And definitely, high refining margins help us a lot. So in the third quarter, that was almost doubling USD 15.2 per barrel. However, petrochemical margin is under pressure, 16% drop to PLN 168 per ton, but was very good. I believe crude oil production improved by 1%. So utilization of our Polish operations was basically 100%, whereas Lithuania, 94%. And in Czech Republic, that was lower utilization, 75% due to plant and unplanned shutdowns. So there was a failure in Litvinov. So that's why we produced less petrochemical products. So as you can see on this slide, petrochemical is minus PLN 92 million contribution to EBITDA LIFO. However, if it hasn't been for Litvínov failure, I believe that would be a kind of slight plus in the petrochemical business as well. However, we all know that we are looking at downstream business from the whole value chain perspective. So of course, great refining is offset by weak petrochemical business. However, altogether, I believe Downstream delivered very solid results of PLN 2.4 billion. Now let's move to Energy. The biggest improvement, higher result by PLN 500 million basically and the biggest improvement is in distribution networks of PLN 318 million, and that was basically due to increase in gas distribution volumes and higher gas and electricity distribution tariffs. In all other areas, as you can see, heating, conventional energy, new energy and electricity trading, we delivered positive results as well. Now let's move to Consumer & Products. Very stable result in retail, fuel and shops. And we see some pressure on the consumption and on the volumes. That's why it was a slight -- slight drop in this -- in that area. However, we managed to regain that drop from the nonfuel sale. We continued our promotions during summer period. So that decreased the margins. However, we managed to regain that from the nonfuel sale. And this increase of PLN 300 million is basically retail electricity and gas. But please bear in mind that part of this increase was again a kind of one-off from '24 that was positive impact of the settlement of PPA, roughly PLN 100 million, so slightly inflated the results. Altogether, PLN 1.6 billion EBITDA, very good result in Consumer Products. Now let's move to CapEx. So you can see the split of CapEx, our budgeted CapEx for '25, PLN 35 billion, and that's almost evenly spread across upstream supply, downstream and energy. However, in the past quarters, we indicated that our CapEx program is roughly between PLN 33 billion and PLN 35 billion. So looking at utilization of CapEx -- realization of CapEx for the first 3 quarters, probably we may expect to be at the closer to the lower end of this range. However, we'll see how this develops in the fourth quarter. Of course, we continue our projects in upstream and supply to increase our production according to our strategic goals. In downstream, of course, we have 3 areas of projects. One is enlarging value chain, which is new chemical project. Then we improve our product slate, and this is the construction of, for example, hydrocracking unit in Mažeikiai or hydrocracking oil block in Gdansk. And of course, we are doing projects that create biocomponents, second-generation bioethanol like [indiscernible] bioethanol in Jedlicze. In energy, of course, we all know that energy transformation is not only renewable energy, but we need to absolutely enlarge and modernize distribution network. So that's why you can see expansion and modernization of power grid and gas distribution network. And our key projects in the renewables energy is, of course, Baltic Sea. So we continue this project, and we target in the second half of 2026 to have this farm fully operational. We continue as well our CCGT project and Ostroleka and Grudziadz second half of '26 should be operational. And of course, we started the new projects like CCGT, Gron, the second plant and in Gdansk. As regards Consumer and Products, we expand and modernize and rebrand our fuel network stations, and we build alternative fuel stations network. So this is ongoing tasks, and we allocate sufficient CapEx for that project. So now let's move to our liquidity position. On Slide #12, we present the waterfall. So we generated -- or we delivered PLN 34.4 million operational cash flow. That was, of course, inflated by a working capital decrease, PLN 4.8 billion altogether for the first 3 quarters. However, the first quarter itself was a kind of minus PLN 2 billion. So we observed this effect of increasing oil and gas prices and volumes increase. So we spent investment cash flow PLN 21.9 billion. That includes our leasing cash out and managed to pay a record high dividend of PLN 7 billion. So altogether, we decreased our debt by PLN 6 billion. So we are in a very good financial position for the next years to come. We all know that we have quite significant CapEx program for the next 3 years. So this safe debt position is very helpful. Maturity, this is very important as well. Average maturity. We have like 2022 and '23, so like 7 years -- 6, 7 years of average maturity. So to finalize outlook, which is probably the most interesting slide in my presentation because here, we present how we see the macro environment and our operations. So we believe that we see fourth quarter so far, at least '25 as compared to third quarter '25 positive in upstream -- positively in Upstream and Energy segments, more or less stable in downstream and lower due to seasonality in customer and products. If we deep dive a little bit in all the segments. So in Upstream and supply, higher production because we don't have any significant maintenance works. We expect higher gas prices due to seasonality and higher sales volumes as well. However, lower oil prices that can, of course, impact the upstream business as well. But altogether, we believe it can be, at least, as I said, so far, good quarter for us. From the energy point of view, again, seasonality, so higher production sales and distribution, higher heat production, higher electricity quotations and higher gas prices may affect slightly negatively, of course, in Energy segment, however, altogether, positive as well. And mixed views in downstream, of course, refining is absolutely great, as we know. So this continues to be great. However, we may expect a little bit lower throughput, lower fuel wholesale volumes due to seasonality and of course, challenging environment in petrochemical business. So that's why, all in all, probably a kind of stable situation is the most probable outcome in downstream. And Consumer & Products, due to seasonality, we expect lower fuel sale and energy and gas negative as well. Of course, higher gas sales volumes, but we expect a negative impact of electricity tariff reduction and maintained frozen prices for household. So that concludes my presentation. So we are ready now for Q&A. So Jakub?
Jakub Frejlich: Yes. Thank you very much. As usual, I would like to take your questions by saying who raised their hand first. And surprisingly, but not so much to ourselves. It's Anna from UBS, who's going to be asking the first question. Please go ahead. Anna, we can't hear you.
Anna Butko Kishmariya: Can you hear me now? First will be around the wholesale margin in the refining. Can you please provide more details around what is the dynamic there? Because it looks like given how strong the refining margins currently are, it should be a very good support for the downstream segment in fourth quarter? And my second question will be around Azoty Polymers, if you can provide any color around when can we expect any updates for the deal?
Unknown Executive: Thank you for your questions. As regards to the first one, we have Slide #17, where we present the kind of the most current macro situation in the fourth quarter. As you can see, model refining margin is absolutely extraordinary. This is 18. per barrel. We all know the macro environment, I believe. So I'm not going to elaborate much on that. This is definitely due to shortage of supply and basically the situation in Russia or the war in Ukraine. So this continue to be like that. Of course, in our base case scenario for the next quarters to come, we don't assume such a high refining margin. This is definitely extraordinary from our perspective. As regards the polymers projects, I can only confirm what is officially published. That means that we put on our offer of 1 billion cash-free debt-free and our offer is valid officially till the end of this year. So we are waiting still for the response of Grupa Azoty. So no progress official progress at least from what we are hearing in that area. Hopefully, this will develop in a positive way, but it's too early to conclude.
Anna Butko Kishmariya: But regarding the wholesale refining margins, which you mentioned are a bit on the lower side. What's driving that?
Unknown Executive: You mean this model refining margin, as I explained.
Anna Butko Kishmariya: No, no, no. Like in the comments for the downstream segment, for example, one of the reasons you mentioned like lower wholesale margin. So can you please clarify there, what does it mean?
Unknown Executive: Yes. This is more or less like inland premium we generate, and this is due to seasonality and lower consumption. So that's why this is our indication that in the wholesale business, the margins can be slightly lower. So this is basically the explanation.
Anna Butko Kishmariya: And do you see those getting worse in fourth quarter or it will be stable?
Unknown Executive: Sorry? Please say it again?
Anna Butko Kishmariya: Comparing in fourth quarter to third quarter, do you expect it to worsen further? Or will it be stable?
Unknown Executive: You mean fourth quarter?
Anna Butko Kishmariya: Third quarter versus third quarter.
Unknown Executive: We expect to be slightly lower, of course, as we indicated here, lower wholesale margins in refining. But slightly lower due to seasonality, basically. So this is not going to be a significant impact, I guess, as positive impact of model refining margin, definitely.
Jakub Frejlich: Tomasz Krukowski. Santander.
Unknown Executive: We can't hear you.
Tomasz Krukowski: I think you can hear me now. Tomasz Krukowski, Santander. Three questions. The first one is specifically to Mr. Andre. And actually, I would like to hear your view on the dividend policy of the company. The company has a dividend policy. We are aware of that. But I'm wondering whether do you fully support this policy or you would like to introduce some changes to it. So this is the first one. The second is on the Energa situation. If you could give us some color in direction the analysis which you are performing is going? And the third one is on the refining. You already mentioned that you do not expect the refining macro to be so strong going forward. But actually, what is your reading of the situation right now? I mean, do you see any kind of lack of the product on the market, which is driving the prices? How is the situation with the Russian imports? What's your take on this?
Unknown Executive: Thank you so much. As regards dividend policy, of course, we have official dividend policy, which was approved by the Management Board and Supervisory Board. So definitely still valid. And I'm in a position individually to change it, of course. I can give you just my comment on dividend, and I express those comments all the time. I was CFO in Orlen a few years ago. basically, my view is that the best dividend policy is basically to prove to the market that we are a dividend-paying company and consistently each year to pay slightly higher dividend. So if there is no extraordinary situation, my personal view is that Orlen absolutely should be a dividend-paying company, and we try to pay slightly higher each year, which was included in the strategy of Orlen from '25. And the second point, Energa, my comment on Energa is as follows. We have 4 segments, as we know, and we are much bigger due to those acquisitions we did a few years ago. So now absolutely, we should focus on creating a very efficient 4 business lines. And we are working on this efficiency in all the segments, so not only Energy segment, but as well in upstream and supply and customer and product. So this is the task which is ahead of us. We should create as agile and as flexible organization as we can. Of course, we are very, very complicated business, but we should be, as I said, as agile and flexible because macro environment can be challenging, can be dynamic. So that's why we are focusing to create in energy as well a very solid business line. However, no formal final decisions have been made so far. So it's difficult for me to comment at this stage apart from all official information we put is going to happen with Energa. As regards to refining margin, so I believe I said that this is basically perception of the market and the shortage of fuels, which is due to the fact that some installations in Russia were attacked by Ukraine. So basically, there's a shortage of fuel, and this is basically the -- we don't expect the situation continue in a sense that it would be absolutely unwise to create base case scenario based on this margin. So that's why I said that in our base case scenario for the next year and for the next years, of course, we don't assume double-digit refining margins so that we are a little bit conservative, let's say, looking into the current situation. And it's better to be conservative, I believe, in this area than to create a business plan and then CapEx and cash out based on the huge refining margin. So that's my comment on that.
Tomasz Krukowski: And actually, do you see the lack of the product on the market? Do you have the clients calling you and saying, giving more diesel or sending more diesel?
Unknown Executive: As regards our markets, no, we don't see a shortage. So from our perspective, absolutely, we are fully full of products.
Jakub Frejlich: [indiscernible].
Unknown Analyst: Okay. So the first question, again, about dividend policy. Will the payout still be based on operating cash flow rather than free cash flow?
Unknown Executive: So as I said the policy. And of course, unless we change it, we are going to follow it. So as regards to dividend policy, this is, as you know, up to 25% operational free cash flow minus interest, but this is up to. So each time each time, as you can imagine, we look before we give the final recommendation as regards to dividend payout, we look into current financial situation, current financial sting. And of course, we will propose this dividend in the second quarter of next year, probably. So we have still 2 quarters to go. So we will see how the market develops, how our cash flow look like, how our CapEx programs continue, and then we'll make the final decision. But yes, this is our...
Unknown Analyst: Okay. So you don't assume any changes in dividend policy?
Unknown Executive: Unless we update our strategy and we change.
Unknown Analyst: Okay. The second question from my side. isn't your approach too conservative when you look at downstream segment for the fourth quarter, assuming current $25 a barrel refining margin?
Unknown Executive: Of course, this is our perception. Maybe that's my view. It's better to be slightly less conservative than more optimistic. However, this is our assumption based on 6 weeks of the fourth quarter. So still, we have 6 weeks to go, and anything can happen. So this is our impression so far. And if you look purely from the refining margin, model refining margin perspective, which is more than PLN 18 billion -- USD 18 per barrel. So this is absolutely great. However, we have some challenges, as you know, in petrochemical business. Petrochemical margin is lower than the third quarter. Of course, our volumes should be slightly higher. We still don't know from the operations point of view, how our assets will operate. So that's why we are more cautious on that. That's why we present more or less stable situation. So stable situation means small pluses, small minuses, and we'll see. We'll see how the fourth quarter.
Jakub Frejlich: We don't have follow-ups, please, Ricardo [indiscernible].
Ricardo Nasser de Rezende Filho: Can you hear me?
Jakub Frejlich: Yes.
Ricardo Nasser de Rezende Filho: A couple of questions on my side, if I may. The first one is on the CapEx. You mentioned that you're probably going to be at the lower end of the guidance of PLN 33 billion for this year. Can we assume that those -- that the PLN 2 billion would be spent next year? Or do you expect some CapEx savings and you might not have to disburse those PLN 2 billion? And then the second one is on the Consumer Products segment. You're talking about some of the margin pressures because of promos during the summer, just how the market is in Poland now. Do you still see some pressures there and you're still doing -- having to do some promos? And when should we expect margins to stabilize or even see some inflection on the margin side?
Unknown Executive: Thank you so much. So as regards CapEx, -- if you assume that we have the budget of PLN 35 million, and I said that the range was PLN 33 million, 35 million. So basically, there are 2 items -- 2 big items that affects lower CapEx utilization. First one is CapEx spend on gas ships. Probably we explained that, that in the base case CapEx, we assumed 4 ships to be delivered. However, this year, only 2 will be delivered and the next 2 will be delivered next year. So that's why out of PLN 2.4 billion CapEx, PLN 1.2 billion will be booked this year and PLN 1.2 billion will be booked next year. So this is a kind of movement to next year. And second billion, we explained probably as far as my colleague told me, it was first quarter upstream, upstream projects. So we decided to just not to continue with one of the projects. That's why we decreased the CapEx plan for upstream. So it's difficult for me to say whether this is postponed or not, but because in Upstream, of course, we have our plan to deliver more production in the next years to come. So definitely, in Upstream, we'll prepare the CapEx for '26, which is appropriate to the targets we initiated in our strategy. So this is as regards CapEx. As regards Consumer & Products, I would say the margins are stable, and this is a kind of market time to time, we create promotions. If we create promotions, basically, we create promotions and to decrease the margins or to decrease the sales prices. And as a result, the margin slightly decreases. However, our goal is to regain this in nonfuel sale. We have more customers enrolling to our VITAY program as a result, so loyalty program. So definitely, we are going to continue with that.
Ricardo Nasser de Rezende Filho: And if I may follow up on the upstream. On the strategy update, you had mentioned that you were looking at potential M&As in North America and the North Sea as well to increase your upstream production. Is there any updates on that front?
Unknown Executive: I can give you a little bit kind of my personal view and the corporate view as well. Basically, we have quite significant CapEx for the next years, 3 years to come. Our flexibility in this CapEx is not very significant as we know. And in our strategy, we indicated that we have CapEx, basic CapEx and options for M&A. And this M&A -- in M&A, definitely, we have flexibility. So that's why I'm very cautious as regards putting any meaningful targets in M&A. We need to look into our cash flow position. We need to look into the macro environment development, and then we'll decide how much money we have -- we can allocate for M&A projects. So at this stage, I can confirm there are no meaningful projects on the table as regards upstream in U.S.
Jakub Frejlich: [indiscernible].
Unknown Analyst: I got a question on your Upstream and Supply segment. First of all, can you tell us what kind of production dynamics do you expect next year? I think you mentioned that you plan to upgrade production in the next years. And the second question, can you tell us anything on your gas wholesale margins going forward? When I look at your gas contracts signed for next year, I see very big spreads. And can you comment on it?
Unknown Executive: So as regards to the gas production, we are in the process of budgeting for '26. So I will not give you at this stage a kind of precise number, of course. And I can confirm what's in the strategy we put as far as I remember, the number of PLN 6 billion production from Norway, like PLN 4 billion from Polish operations. So this is a kind of target for 2030. So step by step, we are going to increase this number. As regards TO the -- can you be more specific as regards to the wholesale margin? You mean wholesale in Poland or wholesale from the kind of U.S. contracts. And...
Unknown Analyst: What I mean is the gas margins in Poland, the margins which you book in the upstream and supply segment. So what I mean is the contract signed on TGE, yes, compared to 1 month TTF?
Unknown Executive: Of course, we should look into development of gas prices, of course. And you are perfectly right in a sense that I explained a little bit this positive impact in '24. So '23 gas prices were very high. We booked at the high level, then prices dropped. So as a result, we managed to deliver roughly PLN 1.8 billion extra money. As regards to development of gas prices, of course, this is a big question, what kind of development we will see in the 2026. So at this stage, we don't provide a kind of full visibility on our goals. But generally, is going to be more stable than it used to be in the previous year. So I would not assume a very significant differences year-on-year on that.
Unknown Analyst: Okay. So if you look at the EBITDA of the upstream segment this year and a scenario for next year that it is stable. Is it like reasonable? Is it optimistic or pessimistic at this moment?
Unknown Executive: At this moment, I would assume stable, definitely. So we had this big drop as compared -- 2025 as compared to '24. So if you look longer term, like '26, '25, so it should be more or less -- I would assume this is the most realistic scenario, maybe slightly lower, but generally, not such a significant difference as '24, '25.
Unknown Analyst: Okay. Okay. Understood. And a follow-up on CapEx. You mentioned that this year's CapEx will be like in the lower range, like closer probably to PLN 33 billion. And can you say anything about next year's CapEx? Will it -- is the PLN 33 billion benchmark a good one? Or should we expect higher CapEx because where there were some -- a few delays and I don't know, investments kick in. Can you say anything about this?
Unknown Executive: Okay. At this stage, I can refer only to our strategic plan. And if you look into the strategic goals, of course, the CapEx is higher than 33%. So I would not assume at this stage that 33% is our benchmark. So please refer to our strategic plan, which is still valid. And -- of course, in the strategic plan, we indicated this M&A as well, which is flexible. So we will be very cautious on that area. But definitely, the range in the strategic plan was higher, as you know.
Jakub Frejlich: [indiscernible].
Unknown Analyst: I got 2 questions, if I may. The first question will be a follow-up on refining because you said that you expect lower throughput. Is this because of the -- strictly because of the seasonality? Or do you have like planned turnaround on your plants in fourth quarter? And if so, which installations are you going to turn around?
Unknown Executive: Basically, this refers to the planned shutdowns. So for example, in Orlen Lietuva, we have vacuum Flesher and this braking shutdown, plant shutdown. So that's why utilization of Orlen Lietuv is going to be below 80%. As regards Czech Republic, we have planned shutdowns as well in the steam cracker. So utilization of Czech Republic, if you assume roughly 85% would be the good assumption. As regards quartz, we are, of course, trying to achieve as much. It should be close to 100%. However, we have some shutdowns as well. So all in all, probably will be slightly lower than 100%. So if you summarize everything and compared to the third quarter, you can assume slightly lower throughput.
Unknown Analyst: Okay. And second question will be about your Orlen project because I think it was like that you plan to come up with some review of that project in September, maybe lower -- maybe changing something in a budget or in assumptions for that project. Is there anything we should know about this? Or you are going to come up with...
Unknown Executive: We continue our project. Yes, yes. Thank you for this question. We continue this project. We have only one item still on the table, which is final agreement with general contractor, CHT. And our goal is at least to conclude this up to the end of this year. However, we'll see how the situation develops. And when we have this final agreement with synchronized all the timetables and created the budget, the final kind of budget allocation and budget update. And once we are ready, we'll go to the market and communicate the full picture of that investment. So we should expect that probably first quarter next year.
Jakub Frejlich: It does seem that the last speech [indiscernible] because there are no further questions unless this is for the -- we have a follow-up from Tomasz, good timing.
Tomasz Krukowski: Yes. Just one on the CapEx. There's quite a lot of investments, especially in the downstream and in energy, which will be completed next year in 2027. And could you give us an estimate what kind of contribution to EBITDA would you expect from those completed investments in 2026 and in 2027, given current macro conditions, not the one which you had when you started those projects, but those that are at this moment.
Unknown Executive: One minute ago, I was happy that I answered all the questions. However, finally, there is a question I cannot answer. So sorry for that, but those are the numbers we basically don't specify in details. And first of all, let's wait let's wait for these projects to be concluded. Once they are concluded, we look at into the macro environment, and then we may discuss in more detail. So sorry for this. But at this stage, please allow me not to give you any specific numbers.
Tomasz Krukowski: But in general, do you expect this contribution to be positive? Or you think that there are going to be some projects which will be burning at the beginning?
Unknown Executive: We believe that all the projects will be positive. However, the question is about the returns. And that's why we book this kind of impairments. Maybe this is the topic we can elaborate. In the third quarter, we booked PLN 1.1 billion impairment of new chemical projects, PLN 0.3 billion on the bottom of the bar in Mažeikiai. So you can -- this is a clear evidence that those projects are not delivering the return higher than weighted average cost of capital. However, this is not negative projects from the EBITDA point of view because it hasn't been negative from the EBITDA, it's a kind of wise move to just basically close this down, as we know. So you can assume definitely positive and which projects are difficult from the return perspective, you can observe our impairments, which we post.
Jakub Frejlich: Now it seems that we left you speeches. So we will be concluding before the market opens. Thanks very much for answering this wake-up call from Orlen today. We may consider doing that going forward to have it before the session kicks off, but we're open for your feedback. Thanks very much for joining us today. If you have a spare hour in half an hour, we're having a press conference, including the CEO, so you can access it online. But for joining us. Thanks very much for your insightful questions, and see you in a quarter unless we see on the road before.
Unknown Executive: Thank you very much. Thank you Bye-bye.
Jakub Frejlich: Thank you very much.